Operator: Good morning ladies and gentlemen and welcome to Vulcan Materials Company's First Quarter Earnings Conference Call. My name is Christie and I will be your conference call coordinator today. [Operator Instructions] Now, I will turn the call over to your host Mr. Mark Warren, Vice President of Investor Relations for Vulcan Materials. Mr. Warren, you may begin.
Mark Warren: Good morning. Thank you for joining our earnings call today. With me today are Tom Hill, Chairman and CEO; and Suzanne Wood, Senior Vice President and Chief Financial Officer. Today's call is accompanied by a press release and a supplemental presentation posted to our website vulcanmaterials.com. A recording of this call will be available for replay later today at our website. Please be reminded that today's discussion may include forward-looking statements which are subject to risks and uncertainties. These risks along with other disclaimers are described in detail in the company's earnings release and in other filings with the Securities and Exchange Commission. Reconciliations of any non-GAAP financial measures are defined and reconciled in our earnings release, our supplemental presentation, and other SEC filings. As the operator indicated, please limit your Q&A participation to one question. This will help maximize participation during our time together. With that, I'll now turn the call over to Tom.
Tom Hill: Thank you, Mark and good morning to everyone. We appreciate your interest in Vulcan Materials and hope that you and your families continue to be safe and healthy. I want to begin by saying that our performance in the first quarter was a very promising start to the year. Demand in our markets continues to improve and our team executed well as evidenced by our financial results. Adjusted EBITDA, which excludes the gain on sale from our reclaimed quarry in California, was $244 million, up 22% compared to last year. This strong growth was driven in part by a 3% increase in aggregate shipments. Despite weather impacts across Texas and parts of the Southeast in February, we experienced a pickup in shipments and March proved to be a strong month. Residential starts continue to accelerate and highway starts also increased due to improved lettings in the third and fourth quarters of last year. We've experienced an increase in both the number of jobs and the shipping speed in the heavy nonresidential space which is also the most aggregate intensive. And finally, some of the jobs that had been postponed last year have started. With year-over-year improvement across our footprint pricing was the second driver of our EBITDA growth. Freight-adjusted aggregates pricing increased by 2% in the quarter. Adjusted for mix, the increase was 1.3%. This was as expected since we were shipping work that have been bid in the middle of the pandemic when there was uncertainty and a lack of demand visibility. As our 2021 price increases gain traction, we will see pricing improvement throughout the year. The third driver of EBITDA growth and the one most within our control was our exceptional cost performance in the quarter. Aggregate total cost of sales per ton was 2% lower than last year's first quarter. And cash cost of sales per ton declined by 3%. Cost control like this is an accomplishment and requires considerable discipline from our operators. The team focused hard on operational execution. And as a result, all of our operating parameters in the quarries improved year-over-year. We were pleased with the meaningful impact from our four strategic disciplines, which will continue to mature. The most compelling metric, continues to be our strong unit margin gains across the footprint. Aggregates, cash gross profit per ton, increased by 9%. This demonstrates the attractive operational earnings power of our aggregates business, when demand is combined with strong execution on our four strategic disciplines. Overall, our operating results this quarter, helped drive a 90 basis point improvement in our return on invested capital. Suzanne will provide further comments on this and other aspects of our financial performance. Let's now turn to our view of the end markets and then we'll cover how, that influence our outlook for the full year. Broadly speaking, the demand environment improved considerably over the last few months. Construction starts, as measured by Dodge, got better along with other leading indicators, like the Dodge Momentum Index and ABI. Construction employment levels continue to improve as well. Residential construction remains the strongest end market. There is pent-up demand for houses and new subdivisions are being built with more to come. The market fundamentals of low interest rates and reduced supply are still in place, which foreshadows continued growth. Housing starts are growing faster in Vulcan-served markets. The outlook for our nonresidential end markets remains limited. However, our quote activity has increased and leading indicators are improving, which suggest that a turnaround is happening. The strongest nonresidential sector relates to e-commerce and technology and encompasses data centers, warehouses and distribution facilities. According to Dodge, 90% of the growth in this sector will occur in Vulcan-served markets. Majority of non-res starts currently fits within this category, but we believe, a strong residential market combined with an increasingly open economy will drive additional demand in other nonresidential sectors. With respect to highways, state budgets and lettings are progressing as anticipated. We are seeing the improvement in lettings from the second half of 2020, now turning to shipments. The COVID-19 relief funds have provided a backstop for any loss transportation revenues for highways. Our country's leadership continues to work on an infrastructure package. Both parties have proposed substantial increases in highway funding and this is a priority for both the Democrats and the Republicans. To summarize, our view of end markets, demand is improving. We see evidence of this both on the ground with our customers and in the data from leading indicators. As a result, we've upgraded our aggregates volume guidance for 2021 to a range of 1% to 4% growth compared to 2020. Excluding the gain on the sale of the California property, we now expect full year adjusted EBITDA of between $1.38 billion and $1.46 billion. As we look forward to consider opportunities, we have three paths to growth, with higher returns. Those paths are organic growth, M&A and greenfields. I'll take each in turn. First, organic growth is a critical part of any strategy, because it offers the most attractive and compelling value proposition on a risk-adjusted basis. We have the best geographic footprint in the industry and the best operators in the industry but we are not satisfied.  Our four strategic disciplines are designed to accelerate this organic growth strategy. And the benefits are clear as we grow our unit profitability. Second, we regularly review an active list of M&A targets. Last year the M&A market basically shut down. But it's reopened this year. We have a long history of making both large and small acquisitions when they are a good strategic fit. Since 2014, we've completed more than two dozen value-enhancing acquisitions in some of the fastest-growing markets in the country. And finally, we had a long and successful history of developing and opening new aggregate locations. This allows us to pinpoint the location of aggregates reserves in growth quarters where there is no acquisition opportunity. Additional benefits include more control over timing of capital investment and not paying a premium for the assets. We like having a balance between organic and inorganic growth. It provides a high degree of flexibility and is an important part of our capital allocation process and our ability to increase our return on invested capital. I'll now turn the call over to Suzanne for further comments.
Suzanne Wood: Thanks Tom, and good morning to everyone. I'd like to start by highlighting four key areas to consider this quarter. Our aggregates unit profitability expansion, return on invested capital, balance sheet strength and the California land sale. First, unit profitability. Our aggregates gross profit per ton increased by 12% to $4.82. We believe this is important because improving the operational profitability of existing locations generally comes with limited capital investment as compared to other growth engines. When the improvements are both sustainable and widespread across the footprint, significant value is created. Our strategic disciplines are making an impact and we have a good track record of execution. Over the past three years our compound annual growth rate for gross profit per ton was 7%. The second key area is return on invested capital. As Tom mentioned, the 90 basis point improvement in the quarter pushed our return to 14.8% for the trailing 12 months ended March 31. While a higher returns profile is always good, the way in which the improvement is achieved is also important. As an example, the first quarter's ROIC gain was comprised of a 1% increase in invested capital and a 7% increase in adjusted EBITDA. This further highlights the importance of the unit profitability discussed earlier. Over the past three years, our trailing 12 months ROIC has improved by 280 basis points, driven by a 4% compound annual growth rate in invested capital and an 11% compound annual growth rate in adjusted EBITDA. The third area is the balance sheet. Our balance sheet strength has created significant optionality and flexibility as we consider our capital allocation priorities, our balanced approach to growth and shareholder returns. Our net debt to adjusted EBITDA ratio is 1.4 times, and we have nearly $900 million of cash on the balance sheet. Our debt has a weighted average maturity of 15 years, with no significant maturities in the near-term. And as always, we will continue to operate the business for the long term. We will not rush decisions to invest, just because extra capital is available. The last of the four key areas, I wanted to highlight, was the sale of the reclaimed quarry in Southern California. The sale generated $182 million of net proceeds and a pre-tax gain of $115 million. One of the strengths of our aggregates-focused business are the multiple opportunities to create value, and the life cycle of this quarry demonstrates that well. Now so far on the call, we focused entirely on the aggregates business. So let's shift briefly to non-aggregates. Gross profit in those segments collectively was $5.6 million in the quarter or $2 million less than last year. The severe weather mentioned earlier affected both asphalt volumes in Alabama, Tennessee and Texas, and concrete volumes in Virginia. Before I turn the call back over to Tom, I'll touch briefly on two more topics; diesel fuel costs, and a change in our effective tax rate. With respect to the cost of diesel, it really wasn't much of a factor in the quarter, because the unit price of diesel was relatively unchanged from last year's first quarter. For the full year, we now anticipate that the cost of diesel fuel will be a headwind of approximately $25 million, reflecting higher prices since the start of the year. The last time we spoke with you we expected that our effective tax rate for 2021 would be 21%. We now expect the full year rate to be between 23% and 24%, following a 27% rate in the first quarter. The higher rate in Q1 and the revised expectation for the full year resulted from Alabama's recent change in the law, which modified the methodology by which a company apportions income to the state. This change had the effect of reducing our ability to fully utilize certain net operating loss carry-forwards in Alabama. And as a result, we recorded a $14 million charge in the first quarter. And with that, I'll turn the call back over to Tom for closing comments.
Tom Hill: Thank you, Suzanne. Before we go to Q&A, I want to again thank our employees for their hard work, for keeping each other safe, and for their dedication to servicing our customers, embracing our strategic disciplines, and making Vulcan better every day. We will continue to operate Vulcan for the long-term. This means, staying focused on our strong local execution, driving unit margin expansion, maintaining a strong financial position and improving our returns. Now, we'll be happy to take your questions.
Operator: Thank you. [Operator Instructions] And your first question is from Stanley Elliott of Stifel.
Stanley Elliott: Good morning, everyone. Thank you guys for taking the call. Can you talk a little bit about what's happening on the cost structure? I mean going back to the Aggregates Day, you guys had a framework for volumes and EBITDA. Where you're tracking, kind of, the midpoint of the guide would imply that you're at least a year ahead of what you would talk about on the cost side. I don't know if that's just the last year pricing with COVID being the anomaly or something else that's driving it, but it is certainly nice to see. Thank you.
Tom Hill: Yes. Good morning. It was an excellent operating quarter. The cost of -- cash cost was down 3% on flat production volumes. And what we're seeing Stanley is our operating disciplines at work. Most importantly, we kept our folks safe, but there were just good fundamental improvements in our key operating parameters, things like throughput plant availability, yield or labor and energy efficiencies. For example, I'll give you an example there 31 of our top 50 plants showed improvement in plant availability. And that's a big lever when it comes to cost. So my hat goes off to operators. Congratulations on a great start to the year. And we appreciate all the hard work, but it's a lot of smart work too. 
Suzanne Wood: Yes. And Stanley, I'd just add to that. We -- one of the themes of the Investor Day when we had it was that as Tom said we're going to focus on what we can control because you don't always have control over volumes and we certainly saw that in the last year with the pandemic and the uncertainty. So we've really pushed and our operators have embraced these operational efficiency initiatives and that discipline that Tom talked about. And that's really what you see coming through in the quarter because you should always have some measure of control over your cost.
Operator: Thank you. Your next question is from Kathryn Thompson of Thompson Research.
Tom Hill: Good morning, Kathryn.
Suzanne Wood: Good morning.
Kathryn Thompson: Hi. Good morning and thank you for taking my questions today. And 12 years ago today Tom, Suzanne we started TRG and you guys were our very first earnings call as a company. So happy birthday to TRG. 
Suzanne Wood: Outstanding.
Kathryn Thompson: Switching to our DNA, which is infrastructure and public construction focus. Just one year after COVID began how would you describe state DOT health and outlook? And tying to that your thoughts on the infrastructure bill and the extension of the fab stat. What this means for Vulcan going forward? 
Tom Hill: Yes. So I would describe the state DOT budgets and lettings as simply back to normal. If you remember we saw a slowdown in lettings in the third quarter when revenues fell in Q2 of last year then lettings ramped back up in October and have stayed up. So the 2021 DOT budgets and lettings basically return to normal. You saw gas tax revenues return, you got the $10 billion of aid from the first COVID-19 relief packages. So basically 2021 back to normal. As we look forward to 2022 which in most states starts -- fiscal year starts July 1, it appears -- now they haven't finalized their budgets, but it appears the budgets again will be back to normal or as planned with overall growth. I would point out that four of our five top states will see funding growth we think in fiscal year 2022. So back to normal. On the highway bill, on the federal highway bill, I think, for me, the good news is, that our nation's infrastructure problem and potential solutions are on the front page of the paper every day. I think it's too early to say how much funding will be up. But regardless of whose plan you like, both plans show a considerable increase in funding for roads and bridges. And also, remember that in any definition of infrastructure, if its new construction, aggregates is going to be in the foundation. So it will help us, whether it's roads and bridges or other forms of infrastructure. So the bottom line is that we are -- I think we're likely to see an infrastructure package get done by the end of the year, with substantially increase in funding. And again, going back to your first question, don't forget that the state funding is up and will continue to get better. So, it looks like a bright future from an infrastructure perspective.
Kathryn Thompson: Thank you.
Operator: Thank you. Our next question is from Jerry Revich of Goldman Sachs.
Tom Hill: Good morning, Jerry.
Suzanne Wood: Good morning.
Jatin Khanna: Good morning, everyone. This is Jatin Khanna on behalf of Jerry Revich. We are hearing in other industries that concerns over drastically higher capital gains taxes are driving private players to the market this year. Are you seeing that dynamic play out? And can you also update us on your M&A pipeline overall?
Tom Hill: I'm sorry, I think, your question was about capital gains taxes. It was -- the connection wasn't great.
Jatin Khanna: Yes. So we are hearing in other industries that concerns over drastically higher capital gains taxes are driving private sellers to the market this year. Are you seeing that dynamic play out? And I also asked that, can you update us on your M&A pipeline overall.
Suzanne Wood: Sure. I'll let Tom comment on the update on the M&A pipeline. But with respect to whether or not capital gains tax and the potential changes proposed by the Biden Administration are driving sellers to the market, I mean that's something that you often hear come up as tax law potentially changes and as there's a pickup in M&A activity. In our view I mean it's possible. I certainly wouldn't say that it would have no impact. But in our experience, we typically see the driver, I mean, particularly in some of the small bolt-on acquisitions, as being sort of generational changes with ownership, as certain of the business leaders that have been running some of these smaller to mid-sized businesses decide that they want to have a look at succession planning, are their children going to be involved in the business, et cetera. We see that as the more typical driver of a potential seller into the M&A market.
Tom Hill: Yes, I don't think it will have a big impact on M&A. I mean, M&As picked up, but I don't think that's the catalyst.
Jatin Khanna: Thank you.
Operator: Thank you. Your next question is from Garik Shmois of Loop Capital.
Tom Hill: Good morning, Garik.
Garik Shmois: Hey. Good morning. Thanks for taking my question. I just want to understand the guidance raise a little bit better. How much of the guidance is related to the 1Q strength, maybe relative to your initial plan? And then you did take up your volume outlook, but you also took up the view of diesel costs. So should we think of those two netting out the rest of the year. So, I guess, just trying to understand what's incremental in the overall EBITDA guidance this year relative to the 1Q performance.
Tom Hill: Well, I think the volume -- I'll address volume, it was up obviously 3%. It was driven by the Southeast and Mid-Atlantic. I think that at the end of the day, works just returning faster than we had expected. You heard us say on our February call that the big unknown in 2021 would be how quickly the jobs start back up. Good news is, it started faster than anticipated really in the non-residential and highway sector, and those were the big unknowns for us. So, as we got a little more clarity to that and how fast jobs are starting and what our backlog look like, it gave us confidence that we could up our volume guidance. So that was -- it was just -- the work -- we knew the work was there. It was how fast – how fast was it going to come back, and it just came back faster than we had expected. I think if you look at the cost guidance and there right now, we would say, low-single-digit built in our projection. That includes -- I think what you're seeing there is the inflationary pressures. Obviously, we call it out fuel. I think we have been around $10 million or so. We're now at $25 million and that's simply the price of diesel went up. So, the goal with cost is always flat costs. And I know our operators have a passion to do that and we think we can beat inflation. But right now, I think, we're -- that's our best estimate on cost to be low-single-digit.
Suzanne Wood: Yes, Garik, I'll just add something with respect to the volume guidance. As Tom said, when we last spoke to you in February, it really was around the fact that we wanted a bit more visibility around starts and what was coming in the market, because we were still a bit early in the process. And so, it really for us was a combination of seeing the growth in the first quarter. As Tom said, some of those postponed jobs starting to come back online, input from our customers what we were seeing across the footprint in all the markets, but also from a macro perspective, we have a number of leading indicators we looked at, that are all turning in the positive direction. And just, as examples, we look at construction, unemployment. We look at ABI, the index, as kind of a trend indicator, even though it can be volatile month-to-month. We are a big believer in Dodge starts on a total dollars basis. That's growing again in our markets, and we also look at the Dodge Momentum Index, which is sort of an indicator for non-res. So, when you put all that together, including our own internal metrics, it gave us the confidence to look at what happened in the first quarter and take that forward based on some of those indicators that I mentioned.
Operator: Thank you. Your next question is from Mike Dahl of RBC Capital Markets.
Tom Hill: Good morning.
Mike Dahl: … for taking my question. Suzanne, I actually just wanted to follow-up on the volume questions and maybe Tom as well. I understand that 1Q is seasonally a relatively small quarter for you, but given the strength to start the year, some easier comps over the next couple of quarters and your comments about the moment in the business. The low-end of that volume guide actually still seems fairly conservative. Can you just walk through kind of why wouldn't volume be even stronger at this point given what you're talking about and maybe some of the puts and takes you could elaborate on?
Suzanne Wood: Sure. No, it's a very good question. I mean you've heard us say this lots of times. I mean we always try to be thoughtful in our guidance. We like to give a range and then talk about what would put you at the lower end of the range or what might happen and put you at the upper end of the range. And as always, when we look at that lower end of the range the plus one on volume, I mean it's really driven by your comment. I mean look, it's first quarter. That's typically the smallest quarter. It's seasonally affected. And when you look out toward third quarter you do have the severe weather events that could potentially have some impact. So we want to be a bit cautious about that. On the higher side of the volume, the plus 4% again -- if we see the starts and other work opportunities, job opportunities out there come to pass I mean we could definitely be at that level. So it's really around non-res and just exactly how quickly that comes back. So could we be a bit better? I guess possibly. But I think that for now based on what we know and what we see in all those internal and external indicators, we are comfortable with the one to four range. I think we thoughtfully considered everything we know and I think it's exactly the right place for us to be as we sit here on May 4. And as we look forward in second quarter look, we'll have a look and see where we are then. But I think it's important not to get ahead of ourselves and it's a quarter-by-quarter process of looking at it. 
Mike Dahl: Okay. Appreciate that. Thank you.
Operator: Your next question is from Trey Grooms of Stephens. 
Tom Hill: Good morning, Trey.
Trey Grooms: Thanks for taking my question. So I guess on pricing here you mentioned that pricing improved sequentially in March and you expect this to continue through the year. And you also increased your outlook for diesel costs this year which typically leads to more pricing. So similar to Mike's question a minute ago on the volume, is there opportunity for pricing to maybe move to the higher end or maybe even above the higher end of the range that -- you didn't adjust the pricing range of up 2% to 4%, but is there - could there be opportunity there? And how should we be thinking about the price cadence given the timing of fixed price -- excuse me fixed plant pricing? Is there step functions, or would it be fairly linear as we look through the year? 
Tom Hill: So Trey you called it out. Always, if you look at inflationary pressures and diesel coupled with better visibility to rising demand that's always good for price. And I mean that's like two of the fundamentals things that are really good for price. So I'd call pricing in the quarter as expected. Q1 we're working off work that we bid in the middle of pandemic, when price increases were not as robust because of uncertainty, and there's a lot of uncertainty if you think back a year. And as we said in Q2 we would accelerate prices through the year. Our April fixed plant prices are now in effect and went as expected. So prices will continue to grow through the year. And that's what we expected. And that's what we're seeing. I do think that pricing will -- as you say will climb, due to both, fuel and inflation and demand returning. Our bid work pricing is moving up faster now, because of inflationary pressures particularly diesel and logistics challenges. And then, we're now having more conversations about a second price increase or a mid-year price increase, depending on the market with our customers. And they get that based on both, fuel and inflationary pressures. And I would like to say, their profitabilities are now -- their bid work is -- their price is going up because of both the same thing both, inflationary pressures and visibility to demand. At the same time, and we all know that pricing is critical for all of us, but at the same time, remember, it's only part of the unit margin arithmetic. Unit margin is still the most important metric. And I believe, our teams have done a really good job implementing those four strategic disciplines. Our cash gross profit per ton went up by 9% in the quarter. And that's a good job. Because it was a combination of volume, price and cost.
Trey Grooms: Yeah. Thank you for the color, Tom. I appreciate it. And best of luck. Thank you.
Tom Hill: Thank you.
Operator: Thank you. Your next question is from Keith Hughes of Truist.
Keith Hughes: Thank you. Most of my questions have been asked. But I just want to turn back to the nonresidential comments. You've given some color of -- in the industry, what kind of projects could be coming. I guess my question given the outlook and the type of projects are there variability in terms of when those actually become shipments for you whether it's a data center versus an office building? And any kind of aggregate intensity that you would find amongst those different projects that could be coming in the market?
Tom Hill: Yeah that's insightful. So non-res is definitely improving. And as you point out, it's led by the e-commerce, and warehouses, and distribution centers and that heavy part of non-residential construction is more aggregate-intensive just because, it's flat. And there's a lot of flat work. And so the aggregate intensity is higher. But what's interesting in what we're seeing in that heavy side is those jobs are going faster. So the time from when they're let or when their bid to the time they're working, is much faster than what we traditionally see in non-res. And that was a little bit of the change in our outlook for the year. We saw those non-res jobs just starting faster than we expected. Now, we're also seeing jobs that were postponed in the pandemic start again -- start up. And you couple that with -- we're starting to see green shoots on traditional non-res that's following subdivision construction. So in general non-res is on the min. But to your point, the heavy side is more aggregate-intensive and it does tend to start faster.
Keith Hughes: Thank you.
Tom Hill: Thank you.
Operator: Thank you. Your next question is from Josh Wilson of Raymond James.
Josh Wilson: Good morning, Tom, Suzanne. Congrats on the quarter. And thanks for taking my question.
Suzanne Wood: Good morning.
Josh Wilson: Most of my questions have been answered as well, but on the inflation side of things, could you also address maybe what you're seeing on the labor side and also in asphalt costs?
Tom Hill: Yeah. So while our market outlook is really exciting with the growth from a volume perspective, there's always there's going to be challenges and right now it's inflationary pressures, labor and logistics. And we're addressing these now. And our four strategic disciplines will allow us to mitigate these challenges faster. And I'll take them in turn. Inflation, the aggregates business has the ability to beat inflation for a couple of reasons. It allows us an avenue for price and we own – our largest cost, which is the rock in the ground. And we believe that our good operating efficiencies supported by our operating disciplines will help offset inflation. Labor, again our operating excellence program improves efficiencies. But also we've really accelerated employee training and development. And that retains employees, that attracts employees and gets new employees up to speed faster, which is very important and keeps them safe. And then on the logistics front, if you remember future truck shortages were one of the catalysts behind our logistics innovation efforts. And that allows us to truck more efficiently and we can beat those challenges actually with technology-driven efficiencies. So our – those are four strategic disciplines are designed to take advantage of tailwinds but also to dampen the effects of headwinds, so that we can live up to the potential for our shareholders. And I think that's what you'll see over the next year. We'll take advantage of the volume and potentially pricing tailwinds but will offset the headwinds of inflation, labor and logistic challenges.
Josh Wilson: Thanks. Good luck with the next quarter.\
Tom Hill: Thank you.
Operator: Thank you. Your next question is from Phil Ng of Jefferies.
Tom Hill: Good morning.
Collin Verron: Hi. This is actually, Collin Verron on for Phil. A great start to the year. Thank you for taking my question. So you called out cost control as a driver of gross profit margin and unit margin improvement in the ags business in the quarter. Just given the increase in volumes and pricing you're expecting, as well as your outlook for higher diesel fuel costs, can you provide color on how you're thinking about the year-over-year change in aggregates gross margins and unit margins through the remainder of the year?
Tom Hill: Yes. So I would probably call out in the range of mid-single digit. And if you put that together that meets our range in price that's out there. I would call out probably low single-digit – flat to low single-digit in cost. And at this point we think all that's achievable.
Collin Verron: Okay. Thank you.
Tom Hill: Thank you.
Operator: Thank you. Your next question is from Michael Dudas of Vertical Research.
Michael Dudas: Good morning, Tom, Mark, Suzanne.
Tom Hill: Good morning.
Suzanne Wood: Good morning.
Michael Dudas: Tom, I was intrigued about your comments about your balanced look at allocation and talking about the greenfield opportunities. Maybe you could share a little bit more on timing. What's in like current plan in your CapEx budget for this? Are the projects – I assume they're much longer dated size, scale, of what could happen? And is there anything that's imminent that you're looking at that would require over the next several years your quite a bit of capital to boomers or a lot of opportunities? Just want to get a sense of how you're thinking that when you balance it relative to your organic and certainly the M&A opportunities?
Tom Hill: Yes. So if you just step back and look at growth, if you remember in 2020, the M&A growth really dried up. We've seen a marked pickup in 2021. And as always, we're going to be both opportunistic and disciplined about our approach to acquisitions. It's got to fit us. So when it comes to growth, I'd actually take a broader view as you talked about and look at Vulcan's ability to grow. And it's unique because it's balanced. And then there's -- we talked about the three avenues. One was acquisitions. And look, we're the largest most probable aggregates producer we're going to get the call, when it's something for sale, but we have to be disciplined and we have to do the work to pay the right price for the right assets.  Number two would be opening Greenfield facilities and -- Greenfield is opening a new facility. Greenfield is a -- it's difficult to do and requires a lot of hard, smart work. You have to go out and define the growth quarters. You have to overlay that with geology. You have to go procure the land, you have to get the permits. And then you have to build the right facility at the right time. And the reason for that Greenfields are so important is that, as you look at the growth quarter, there may not be an acquisition target available to best supply that growth quarter hence the Greenfield. But just -- you have to have the know-how and it's hard to do and you have to do the hard work. There's nothing easy about it and you have to time it right.  And then the last in the third quarter we talked about was organic growth. And you've heard me talk endlessly about our four strategic disciplines and we're excited about them because they're important. And this has to be done with its design and planning and discipline. And it's important because it's -- from a shareholder's perspective because it's lower risk and higher returns. And for us it's working. You look at our numbers over the last couple of years, you see us accelerate our growth in unit margins. And so that balanced approach for us is so important. And don't forget that we also have the balance sheet to execute on this. 
Michael Dudas: Thank you, Tom.
Operator: Thank you. Your next question is from Timna Tanners of Bank of America. 
Timna Tanners: Good morning, guys.
Tom Hill: Good morning, Timna.
Suzanne Wood: Good morning.
Timna Tanners: I wanted to ask two questions. One was on -- just you did highlight that the infrastructure proposals as they stand both focus on increased spending on roads. But one thing we struggled with is trying to understand some of the auxiliary spending and especially in the Biden proposal and what that might mean for aggregates, if you've done any work on that or have any thoughts. So in either proposal what that might mean? And the second question is, if you have any updated information for us on how the Board is looking at the dividend? I know you just raised it, but just any new thoughts there would be great? 
Tom Hill: Yes. So I'll talk about highways and let Suzanne talk about dividend. I think that what's important in infrastructure and I said this when we talked about the highway bill. In the Biden plan, anything that is new construction you have to have aggregates in the foundation. And now obviously, we love roads and highways because they're most aggregate-intensive. But anything that is new construction, you got to have aggregates in it. So if you look at alternative energy solutions, we're actually a big provider for the foundations for alternative energy, which has been a good business for us for years, so we welcome that also. 
Suzanne Wood: Timna, I'll just address the dividend question. Look, the dividend is very important to us and it's very important to our shareholders and we want to make absolutely certain that we maintain the dividend. It's a very good way of increasing shareholder returns. And as you noted, I mean, the company has continued to increase that year-over-year. And as we've said, it is -- we think about it in almost a progressive kind of way. And by that I mean, we will continue to grow the dividend at the Board's discretion to a level that we are absolutely certain that we can maintain through the cycle, because what we absolutely do not want to do is have shifts and changes in that dividend. So when you're talking about an ordinary dividend, the ability to maintain that level is absolutely critical, and that's what we're focused on. When you look at our cash-generation capabilities if you look at our operating cash flows over the trailing 12 months, cash flow from operations was $1.2 billion. That's up about 20% year-over-year. So I think you can tell by the strong cash generation capabilities that we have that we should -- again at the Board's discretion, but we should be in a position to continue the view I just described on dividend growth.
Timna Tanners: Yes. Absolutely. It's a high quality problem, but your share price is going up so strongly means that the dividend yield is being kind of small.
Suzanne Wood: Yes.
Timna Tanners : So here you're pointing through the cycle. But the free cash flow has been pretty steady now actually even through this latest correction, so curious on that. And, I guess, you didn't have -- oh, I'm sorry go ahead. 
Suzanne Wood: No, I was just going to say you're right. It is a quality problem to have. I mean, what we've been very focused on with our disciplines, and focus on unit profitability, et cetera is making sure that that free cash flow is stable, it's increasing because when you have a high degree of confidence in your free cash flow generation then you can do good things with your capital allocation priorities. And that was really the first step and I think we've accomplished that and we'll look forward for additional opportunities to improve the company's ROIC.
Timna Tanners: Okay. Fair. And Tom on the question I had earlier, is there anything that you can provide in terms of rule of thumb in terms of green energy? I mean, offshore I imagine is less than certainly some of the solar and onshore wind. But is there anything about aggregates per project or anything that you can provide for us in terms of guidance?
Tom Hill: It's hard to do a rule of thumb. I would just say that the wind energy is very aggregate-intensive, because you're not just putting in the foundations which are massive for those wind mills you're also putting all the logistics network all the roads and utilities for those wind mills. So it's -- the wind energy is very aggregate-intensive.
Timna Tanners: Okay. Thanks guys.
Operator: Thank you. Your next question is from Adam Thalhimer with Thompson Davis.
Tom Hill: Good morning, Adam.
Adam Thalhimer: Good morning. Good morning guys. A great start to the year. I guess, my biggest question Tom would just be on aggregates pricing. And there's so much inflation throughout the entire construction chain right now. I mean, when do you think we break out of this low single-digit range that we've been in for a while for aggregates pricing?
Tom Hill: I think you'll see us march that up as we progress through the year. I think we get the question a lot of times can you get to double-digit price increases and I think…
Adam Thalhimer: Yes, yes, yes. That's what I want to know.
Tom Hill: So to answer the question we have the history will tell you, yes, and we have done it before. I think --but you got to -- you guys see an average of some 60 markets pricing all put together, and each market marches to a different cadence. And so what we'll do is we'll push price really hard in the market for a while, and then you may have to pause, and let folks, catch up and then you'll push it again. And to get to that double-digit number all the stars have to line up at once. Can that happen? Yes. Would I advise that? No. So -- but I would say this much. The pricing environment has improved dramatically. And as I said a little bit earlier, you got both demand visibility and you've got -- now you've got inflationary pressures both of which are good for pricing. So we'll plug at it all year. I think -- and obviously we'll -- we get towards the end of the year, we'll have a better view for 2022. And don't forget, as we said, we're still working off some work that we bid in the middle of the pandemic when price increases were not as healthy as they are today. So we'll get past that and we'll plow. But yes, we would love to see double-digit pricing. I would also tell you that's very hard to do, not impossible, but very difficult.
Adam Thalhimer: Okay. Thank you very much.
Tom Hill: You bet.
Operator: Thank you. Next question is from Anthony Pettinari of Citi.
Anthony Pettinari: Hi, good morning.
Tom Hill: Good morning.
Anthony Pettinari: You talked about the guidance raise being partly driven by job shipping and starting faster than expected. I'm just wondering if that was really pronounced or concentrated in any specific state or end market? And just generally, how the 2021 volume growth outlook for ags maybe breaks out between your end markets?
Tom Hill: I think that if you look at really what's happening in the end markets, it's pretty normalized across our footprint. You've got residential which is very, very good. You got non-res which is returning driven by the heavy side. We're starting to see green shoots on the light side. On highways, the jobs that will bid and the fourth quarter just have returned faster. Remember, Q3 was down as the DOTs were trying to start the year and see what was going to happen. And then infrastructure, non-highway infrastructure, I would call it flat to improving. You had pressures from revenues, but they've come back and you've got COVID relief that will kick in probably by the end of this year beginning of next year. I think that if I've had to pick a market, I'd say the Southeast and Mid-Atlantic states were the strongest. You had Illinois down and Texas down and Northern California down. That was really weather-driven. I mean cold frigid weather in Texas and then -- and Illinois and wet weather in Northern California. So if I had to pick areas, it would be the Southeast and Mid-Atlantic, but I would tell you that the quarter was more -- the volumes were down were more weather-driven not demand driven. And I would call out improving in all of our markets.
Anthony Pettinari: Okay. That’s very helpful. I'll turn it over.
Tom Hill: Thank you.
Operator: Thank you. Your next question is from Paul Roger of Exane.
Tom Hill: Good morning.
Paul Roger: Hi, Suzanne. Good morning.
Suzanne Wood: Hi. Good morning.
Paul Roger: So I've just got one question then. It's maybe slightly less feel compared to the rest of the Q&A. And it's basically looking at the environmental agenda and the fact that that's obviously going up in the US. Can you talk a bit about the risk and opportunities that brings? And maybe specifically what impact would the increase use of recycled aggregates have on Vulcan?
Tom Hill: If you look at the environmental piece for Vulcan, we've been doing this a long time and been doing it well for a long time. But if you step back and just look at for example greenhouse gas, our effect for us the -- our greenhouse gas emissions are actually for a construction materials company very low. And we're -- even with that being said, we are improving our footprint. We are looking at renewable energies. We're also -- we're probably about -- 25% of our mobile equipment has the new engines in it which have less emissions and we will plug-in that every year to improve it. So I think we've got a great story to tell. I think we're -- but even that being said, we're working hard to improve it.
Paul Roger: And on the recycled aggregates side, I mean, that was one of the things we saw when the green agenda really took off in Europe. Presumably that's negative for virgin aggregates and potentially margin is it?
Tom Hill: Yeah. So if you're referring to recycle, we are a big recycler. We, obviously, are in the concrete-recycling business. We're also -- with our asphalt business we're a big recycler of asphalt. So it is part of our makeup and it is growing.
Suzanne Wood: And I would just -- yeah, I would just add to that, Paul that in terms of highways, the formulas that are used for the asphalt there, it varies by state but you're only able to use a certain amount of recycled material there. So you have to be cautious as to what you're doing and we're very happy as Tom indicated to be in the recyclable business, but it is not a replacement for virgin asphalt in many of the applications.
Paul Roger: Thank you.
Tom Hill: Thank you.
Operator: Your next question is from Zane Karimi of D.A. Davidson.
Zane Karimi: Thanks for the color so far. I was just hoping to go into a little more detail on your outlook in particularly what you're seeing in California and Texas. Like what is driving activity in these markets? And how is your outlook -- how has it really changed from last quarter to this? And are you seeing stronger drivers in infrastructure or nonresi for a potential upside from here?
Tom Hill: For both of them, I would tell you we are seeing growth. Remember California if you -- California first. 2020 was a really difficult year in California. You had the pandemic. Northern California was the most severe shelter in place. On top of that you had the rolling power outages from the fires, which caused severe cement shortages. I would tell cost of cement tied in California but nothing like it was last year. So much improvement in California just from ability to do business. It's opened up and you don't have rolling power outages or cement shortages. But that being said, highways are up, residential is up and strong, nonres is improving and infrastructure is recovering both with revenues coming back and with COVID relief help. Texas, obviously, a rough start with the frigid weather in Texas. But that -- putting that aside highways are very strong in Texas. Res is very strong in Texas. Nonres is improving, again driven by the heavy. And the non-infrastructure is also improving. So both in California and Texas, we see much improved markets and ability to do business.
Zane Karimi: Thank you.
Operator: Thank you. There are no further questions at this time. I will now turn the call back over to Tom for any additional or closing remarks.
Tom Hill: Yeah. Thank you very much for your time and interest in Vulcan this morning. We'll continue to make good progress on our long-term goals and we look forward to sharing the news with you over the quarter and for quarters to come. Have a nice day and stay healthy and safe.
Suzanne Wood: Bye.
Operator: Thank you. This does conclude today's conference call. You may now disconnect.